Operator: Good day, ladies and gentlemen, and welcome to the Pioneer Power Solutions, Inc. Third Quarter 2020 Earnings Results Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Brett Maas. Please go ahead.
Brett Maas: Thank you, and welcome. The call today will be hosted by Nathan Mazurek, Chairman and Chief Executive Officer; and Walter McCall, Chief Financial Officer. Following this discussion, there will be a Q&A session opened to participant on the call. We appreciate the opportunity to review the third quarter 2022 financial results as well as discuss recent business highlights. Before we get started, let me remind you this call is being recorded and webcast. During this call, management will make forward-looking statements. These statements are based on the current expectations and assumptions and are subject to risks and uncertainties that could cause actual results to differ materially. Please refer to the cautionary text regarding forward-looking statements contained in the earnings release issued earlier today and in the posted version of these prepared remarks, both of which apply to the content of the call. I'd now like to turn the call over to Nathan Mazurek, Chairman and CEO. Nathan, please go ahead.
Nathan Mazurek: Thank you, Brett. Good afternoon, and thank you all for joining us today for our conference call. This was an important quarter for us with continued strong orders and significant revenue growth, and we believe that this sequential progress will accelerate in the fourth quarter and continue into 2023. Based on our backlog and confirmed delivery schedules, we are confident that projected fourth quarter revenue will enable us to meet our full year target of 50% year-over-year revenue growth. This guidance obviously signals that we expect to end the year on a very strong revenue note. And indeed, we fully expect that momentum to continue into 2023. Significantly, in the third quarter, we also expanded our gross margins as evidenced by the 130 base increase in gross margins as compared to the third quarter last year. On an operational level, it's important to note that excluding the ongoing investments to support our new strategic initiatives and associated overhead, our divisions delivered more than $200,000 in positive EBITDA contribution margins. From a sales and marketing perspective, demand for both our E-Bloc and e-Boost product suites continues to accelerate. These two new solutions are directly addressing application issues and power challenges in the distributed energy generation and EV charging verticals. Both of these market segments are enjoying strong secular tailwinds and our solutions directly address the opportunities these catalysts create. Let me start with the distributed generation market in E-Bloc. Distributed generation is the concept of integrating multiple energy inputs, including zero-emission options like solar, wind, battery and/or hydrogen and traditional sources such as direct utility connections. E-Bloc allows the user to effectively manage, control and protect all these inputs, facilitating peak shaving, peak skimming and general resilience. In addition, E-Bloc provides these solutions in a compact outdoor competitive skid-mounted package. In December of 2021, we announced a $12 million order for our E-Bloc distributed generation platform from the major big-box retailer. During the second quarter, as a reminder, shipments were delayed to this customer based on the customers receiving schedule. As expected, revenues accelerated in the third quarter, and we believe this pace will accelerate further in the fourth quarter, driving a significant portion of 2022 sales revenue. We also anticipate similar size follow-on orders from the same customer for additional stores in 2023 and beyond. Beyond this large big box retailer, additional customers and other market verticals are also deploying E-Bloc. For example, this past July, we announced a large data center order integrating E-Bloc to efficiently control the various energy sources as part of this particular energy developers zero – net zero initiative. This was E-Bloc's first entry point into the data center market, and we believe it represents a very large market opportunity for us over the next several years, as data center developers and owners continue to push for a more diversified resilience package and a lower carbon footprint. In fact, we expect additional orders both with the end user and with the prime contractor who brought us into this particular market. Finally, in October, we announced that one of the largest automakers in the world awarded us an $8 million order for our E-Bloc systems as part of their cutting-edge power delivery infrastructure for a new massive manufacturing campus, which will focus on their electric vehicle and battery production. Our focus now is to leverage this early success of E-Bloc and bring E-Bloc to a much wider group of energy developers and users. Our current backlog includes $13.8 million of E-Bloc orders to be delivered over the next 12 to 18 months, including scheduled shipments on the $12 million order from the major big-box retailer, deliveries to the data center and new auto plant as well. We expect to benefit from continued E-Bloc order growth over the next several years. Turning to our E-Boost mobile charging platform. We continue to see growing interest in our anytime anywhere mobile EV charging solution. To review, one year ago, only one year ago, we created the E-Boost mobile charging business comprised of three delivery platforms. First, E-Boost GOAT - G-O-A-T, which stands for generator on a truck. This is a truck-mounted EV charging solution, which is fully mobile and can provide high-speed charging anywhere. Second, E-Boost Mobile is a trailer-mounted or skid-mounted portable solution that provides multiple options for towing or forklift relocation and could be available at specific businesses, large sports and cultural events, and could be relocated with minimal effort and on short notice. Third, E-Boost Pad is a primarily stationary EV charging solution with as-needed mobility that can provide EV charging to multiple vehicles. This is the ideal solution for gas stations, hotels and other retail locations that utilize EV charging to increase customer traffic and/or retention or as a brand differentiator. All three E-Boost platforms are designed to provide on-demand power needs in addition to the primary task of high-speed electrical vehicle charging. In emergency situations such as a power outage, E-Boost can serve as a backup power source with convenient power connectors and outlets available on board. In the last year, we have booked almost $2 million of E-Boost business and delivered almost $1 million of value product year-to-date. Initial adopters have been casino, electric truck and school bus manufacturers and electric passenger vehicle manufacturers. We are realizing our strongest sales traction with a wider group of truck and bus manufacturers, dealers and fleet operators are also actively working with electric aviation businesses, roadside assistant businesses and logistics providers on additional E-Boost units. The need is clear. Sales of electrical vehicles have significantly outpaced the charging infrastructure. Retailers, restaurants, hotels, casinos, concert trade shows and other sports venues workplaces want to move quickly to add charging solutions. During the quarter, we added new case - new use cases, including the ability to rapidly recharge EVs as they are disembarked from oceangoing freight carriers. As more and more fleets are electrified, mobile and on-demand charging will become increasingly important and E-Boost fills this unique niche. We fully expect E-Boost to represent dynamic growth and profits for us in 2023. Lastly, we also expect the Inflation Reduction Act to expand consumer incentives for electric vehicles and provide financial support and incentives for electric vehicle charging, renewable energy and energy storage. In particular, the goal of converting federal state and local government vehicle fleets to EVs will help grow the size and velocity of this changing landscape and create near-term demand for fixed and mobile charging. These developments will accelerate the demand for our E-Bloc and e-Boost products and services. With that, let me turn the call over to Walter, our Chief Financial Officer, to discuss our financial results.
Walter Michalec: Thank you, Nathan. And good afternoon, everyone. Third quarter revenues were $6.3 million, up 10% year-over-year. The third quarter benefited from increased sales of our E-Bloc power systems as it relates to the $12 million order from the major big-box retailer. Gross profit for the third quarter of 2022 was $861,000 or 13.8% of revenues compared to $713,000 or 12.5% of revenues for the same period in 2021. The higher margin was due to increased revenue during the third quarter, driving greater cost absorption. Selling, general and administrative expenses of $2.3 million were approximately 37% of revenues for the third quarter of 2022, an increase of 87% when compared to $1.2 million of selling, general and administrative expenses in the year ago quarter. Approximately $143,000 of the quarterly SG&A was related to non-cash stock-based compensation expense, reflecting incentive options and grants issued to employees and consultants during the year. SG&A also includes $781,000 in incremental investments in sales, marketing, personnel and product development costs for our E-Bloc and e-Boost solutions. These ongoing investments played a key role in the higher SG&A expense. This is intentional and targeted spending designed to drive demand for these new solutions. We expect investments in 2022 to continue through 2023 as we build and scale these two new business lines as they grow. Finally, higher wage costs, including salaries and benefits, also played a role in higher SG&A expense. Operating loss for the third quarter of 2022 was $1.4 million compared to an operating loss of $518,000 in the year ago quarter. Net loss for the third quarter of 2022 was $1.3 million or a net loss per basic and diluted share of $0.13 compared to a net loss of $434,000 or negative $0.05 per share during the third quarter of 2021. It's important to note that most of our losses during the third quarter were due to ongoing investments in our E-Bloc and e-Boost solutions, non-cash stock-based compensation and corporate expenses. Put another way, excluding these investments in corporate expenses, our operating business units generated positive EBITDA during the third quarter. Turning to the balance sheet and statement of cash flows. We had cash on hand of $7.2 million and zero debt at September 30, 2022, compared to cash and restricted cash of $11.7 million at December 31, 2021. This represents cash per share of approximately $0.75 at September 30, 2022. As a reminder, we expect to receive approximately $6.2 million in cash by the end of this year from the maturity of two notes related to the sale of our transformer business. Accordingly, we are confident that we are sufficiently capitalized to address our near-term investments. As Nathan said, we view 2022 as a year of growth and margin expansion based primarily on our backlog, as well as the significant and accelerating demand for our new solutions, we believe we are on track to grow full year revenue by at least 50% in 2022 when compared to 2021. And further, we expect meaningful margin expansion. This concludes my remarks. I now turn the call back to the operator for any questions.
Q - Amit Dayal: Thank you. Good afternoon, everyone. Can you hear me...
Nathan Mazurek: Yes, we can hear you clearly.
Amit Dayal: Okay. Thank you, Nathan. Congrats on the execution so far. Just curious about the fourth quarter coming in maybe a little higher than the rest of the year. Is it just supply chain issues or anything else that is causing 4Q to be a little bit bigger, I guess, than...
Nathan Mazurek: It was really on the large order. The customer did not want to - they were not ready to receive all the units that they had contracted for. Now we're in the middle of the fourth quarter now in real terms, and that's been the big turnaround. They're receiving every week. So that gives us the confidence for the fourth quarter, and that's why it's going to look too outsized, frankly, as compared to the rest of the year.
Amit Dayal: Okay. Understood. And then you commented - I don't know if I caught this correctly, a similar-sized follow-on from this customer for 2023. So is that 62 additional E-Bloc's going to this retail customer?
Nathan Mazurek: That's what they're talking about these kinds of chunks. We would announce it if we actually got a hard PO [ph] for it. We only announced hard POs and you know that that's the only thing that's in the backlog for us, hard POs that are non-cancelable. So we haven't gotten that yet, but that's what they're discussing. From the beginning, they were talking about the targeted 400 stores at the end of this year or maybe a little bit drip into next year and into January, a few more units, we'll complete the first 62, but that's ultimately their plan to convert all 400. So that will go on for a while, hopefully.
Amit Dayal: Okay. Understood. And then this backlog you have currently Nathan, is this to be filled in the next sort of 12 months?
Nathan Mazurek: Yes. We typically, for us, backlog, although given how busy everything is, maybe we should expand the scope. But typically, for us, backlog is non-cancelable POs that we expect to deliver within 12 months.
Amit Dayal: Okay. Understood. Just one last one for me. With respect to the IRA, are you having conversations that are stemming from incentives in the IRA or is that something that you haven't seen materialize yet...
Nathan Mazurek: It's definitely out there, different parts of it. Of course, the credit part as far as projects go though it's not that high per project. But the incentives at different parts, for example, most specifically for us is the school bus incentive. That's a very serious. That's a serious financial impact and that really does accelerate for the school bus manufacturers, ultimately, but for the school districts and so forth, that accelerates the adoption of electric school buses. That's all good for us.
Amit Dayal: Okay. Thank you so much.
Nathan Mazurek: You're very welcome Amit.
Operator: [Operator Instructions] We'll take our next question from Anthony Akiri, Private Investor. Please go ahead.
Unidentified Analyst: Hi. I was wondering about the used market. I guess these are still new, so there's no used market. But did you forecast if or when there would be a used market and what impact that would have on sales in the future? Or is it too early?
Nathan Mazurek: It's probably you're talking e-Boost?
Unidentified Analyst: Yes.
Nathan Mazurek: Yeah, it's way, way too early. But we'd be the right address for it. We're the only solution like this in the market. So we'll see what happens. But right now, it's - this is a completely nascent early-stage adoption. So there really is no used market yet.
Unidentified Analyst: Okay. Thanks.
Nathan Mazurek: You're welcome.
Operator: [Operator Instructions] It appears we have no further questions in the queue. I would like to turn the conference back to your presenters for any additional or closing remarks.
Nathan Mazurek: Okay. Thank you all for your time and support. We look forward to updating you again on our next call. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. We appreciate your participation. You may now disconnect.